Operator: Good day and welcome to the WidePoint Corporation First Quarter 2015 Financial Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to David Fore of Hayden IR. Please go ahead, sir.
David Fore: Great, thank you operator. Good afternoon to all participants in the WidePoint’s first quarter 2015 financial results conference call. With me today are WidePoint’s Chairman and CEO, Steve Komar; and Chief Financial Officer, Jim McCubbin. Steve will provide an overview of the quarter results and Jim will provide additional financial details. Then, we'll open the call to questions from participants. Before I turn the call over to Steve, I’d like to remind all participants that during this conference call, any forward-looking statements are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Expressions of future goals, including financial guidance and similar expressions including without limitation, expressions using the terminology may, will, believe, expect, plans, anticipates, predicts, forecasts, and expressions, which reflect something other than historical facts are intended to identify forward-looking statements. These forward-looking statements involve a number of risks factors and uncertainties, including those discussed in the Risk Factor sections of WidePoint’s Annual Report on Form 10-K, its quarterly reports on Form 10-Q and other SEC filings the company releases. Actual results may differ materially from any forward-looking statements due to such risks factors and uncertainties. The company undertakes no obligation to revise or update any forward-looking statements in order to reflect events or circumstances that may arise after this conference call, except as required by law. I would like to turn the call over to WidePoint's Chairman and CEO, Steve Komar for opening remarks.
Steve Komar: Thank you, Dave, and good afternoon to all of you that have joined us today. It has been a relatively short time since our 2014 year-end earnings call on March 16, but we do have several recent developments to share with you today. And of course we’d like to express our appreciation to all of you for your continued interest and support of WidePoint Corporation. As you may already have seen, our first quarter results help us to start the year off with a combination of robust revenue growth, improved dollars of gross profit and a reduction and loss from operations, each of which are consistent with our internal targets and earlier comments to you regarding our expectations as we move through the individual quarters of 2015. Of $17.7 million this quarter, our revenue performance represents growth of 84% versus the year ago first quarter of 2014 and an almost $1 million improvement versus the immediately prior calendar quarter. It also represents our fourth sequential quarter of revenue growth. Actually our revenue growth was slightly better than what we had expected, due to a quicker implementation and on boarding of our most recent DHS BPA customer, the immigration and customs enforcement agency, or ICE, during the first quarter. As revenues from this client were only for a portion of the quarter, it speaks well to the additional increment we can expect from ICE in the upcoming second quarter. It’s important to note that this benefit was realized directly as a result of the hard work and commitment of our DHS on boarding team. ICE was implemented quickly, efficiently, and with the group of happy end-users, a great job by everyone involved and indicative of the focused teamwork on the part of all of our staff and management. This type of effort and commitment is a key critical to achieving the aggressive 50 plus percent revenue growth target we have set for this year. As a result of everyone’s hard work, we entered the second quarter of 2015 at slightly over $70 million annualized revenue run rate. A very good start towards meeting the performance targets we have established for our company this year, but this is just the start. While we find ourselves to date well underway with the agencies we have brought under our wings via the DHS BPA award. We still have three substantial additional target agencies we must engage and turn in to satisfy clients and users, specifically the U.S. Coast Guard, FEMA, and the U.S. Secret Service. These agencies remain a key focal point for us in 2015 and should enhance our success profile as we move forward. We’ve received more than $300 million in multi-year cash quarter award under this agreement over the past year. And we believe we will continue to grow and expand this base as we provide additional and enhanced higher margin mobile products and services to the agencies and reach our target of capturing the entire $600 million opportunity under this agreement. While the DHS BPA represented a large portion of our growth over the past year and with our continued success should lead to additional growth in the future, it was not the only opportunity we have invested in to support our targeted growth rates in the quarters and years ahead. We’re extremely excited about the opportunities we see for our next generation identity management solutions including Certificate-on-Device, or COD, or as we have – since we tend to use these terms interactively and have been and are investing to bring these capabilities to production readiness as quickly as possible. As the world of the internet of things evolves, we see only additional demands, requirements, and opportunities for the high integrity proven mobile security solutions we offer today and will offer in the near future. These new offerings are geared toward a range of devices including personal mobile devices such as handsets, tablets and laptops as well as machine to machine interfaces between servers and routers and other hardware and sensors and cameras used in secured and mobile environments. We’re currently working with three major mobile device manufacturers: Kyocera, LG Electronics and Samsung as well as several other key partners to bring our Certificate-on-Device solutions to commercial and federal markets. I’m pleased to report that we believe we will see our first threshold revenues from these efforts during the upcoming second quarter of this year. I’d like now to offer a quick update as to where we stand with each of these three primary handset partners. Kyocera has launched several recognized handset models geared toward the first responder customer segment and is working with us on incorporating a security certificate into their handsets for those markets. We’re also working closely with LG’s sales and marketing organization on the pending market launch of their next generation secured handsets. And with Samsung we are in the process of integrating into their KNOX product suite and are working closely with their enterprise group to complete the integration of our Cert-on-Device with their handsets. And finally, we will begin co-marketing with them later this month on several exciting opportunities we have been jointly planning and working with them on. Thus far the majority of our next generation identity management activities and opportunities are in or entering pilots or what we call phase stages. And as we’ve already mentioned, the impact on revenue during this first quarter has been minimal, but we do expect to see an increasing step-up in revenues from these offerings during the second and third quarters as handset products are rolled out. As an example of similar early efforts, we recently initiated work with our AT&T partner on behalf of one of its large financial services clients to provide identity assurance, consulting services relating to our next generation identity management offerings. This initial work under this engagement is now at completion and we are working on the second phase of how we implement in enterprise-wide security solution that meets the company’s customized needs, along with the potential for ongoing maintenance and related expansion opportunities. Keep in mind that in most cases, we are not serving the end-users directly, as they are customers of our partners and we have somewhat limited direct control of market adoption rates and implementation timing. That is one of the reasons we have taken some pain to choose our partners carefully. Having said that though we do see the potential opportunity to generate high margin revenues in the single-digit millions for these offerings during 2015. On another front, our Soft-ex Communication subsidiary continues to gain ground than the European market. Last month, they were newly included in the UK government specialist Cloud Services G-Cloud 6 procurement agreement. For background, the G-Cloud is a UK government initiative designed to support the acquisition of cloud software and services by the entirety of the public sector and the G-Cloud 6 includes an array of solutions from specialist suppliers such as Soft-ex. Soft-ex is also in advanced contract discussions with O2 Telefónica, British Telecom and 3-Ireland. 3-Ireland is a new Hutchison Whampoa entity that acquired the Telefónica operation in Ireland and is currently negotiating to acquire the UK equivalent. Soft-ex is an existing client of both the former Telefónica and now the new Hutchinson Whampoa entity. And just basically to provide or enhance their data analytic solutions and services to the enterprise customers of those communication service providers. Beyond Soft-ex’s base markets and services, we were working to expand their data analytic software offerings into the U.S. market while we pursue equivalent opportunities to expand our domestic telecom expense management or ten platforms throughout the European community. So with this start to the year, we are confident that the hard work investments that we made in 2013 and 2014 are already paying off and that they will continue to payoff in 2015 and beyond. Our target and markets are large and growing and potentially very lucrative for us, given our competitive differentiators such as contractual exclusivity, reputation in the market and with customers and quick-to-market technological implementation. As we stated before, our pathway to success and therefore our overwhelming focus in 2015 is to execute it on several key critical initiatives, which simply stated are as follows, executed our plan to scale and leverage our DHS BPA relationship, productize market and sell our Cert-on-Device and next generation identity management offerings, prioritizing grow our higher margin businesses and revenue streams, grow our state, local and commercial markets penetration both here and abroad. All while aggressively controlling spending and optimizing our investment choices. All of which will collectively help us to achieve the goal of delivering positive financial leverage to our bottom line as we continue to grow and progress through 2015. With that I’d like to thank you for your attention. And now, I’d like to turn the call over to Jim McCubbin, WidePoint’s CFO for an in-depth discussion of our quarterly financial results and his financial outlook as we enter what should be a very exciting year. Jim, the floor is yours.
Jim McCubbin: Thank you, Steve. Hello, everyone. Thank you again for joining our call today. Today, in my remarks, I’m going to discuss and review our first quarter 2015 financial results and provide an outlook and update at this point in time on our financial goals, targets, and expectations for 2015. As Steve has commented our first quarter revenues exceeded our expectations and led to revenue growth of approximately 84% with revenues booked to $17.7 million, up $8.1 million from $9.6 million in the first quarter of 2014. This also represented four quarters of sequential revenue growth commencing in what we have described back in the first quarter of 2014 as a bottom and starting point in the endeavors we have set up to achieve this past year. We’ve been fortunate in our team member’s ability to on board and process workload more efficiently and this led to our success this quarter in driving revenues a bit further than we have expected and stated on our last call. Some of the investments that we have made to streamline our processes and platforms are starting to pay off. As we continue to wrap up these endeavors this year with improvements to our electronic data interfaces, [indiscernible] interfaces and platform consolidations. We believe our processing, time and cost to perform our work should improve driving better margins, while providing our end-users with improved performance, analytics and of course an improved user experience. Our revenue growth over the past four quarters of course was materially attributable to our DHS BPA award and to date we have recognized over $300 million in Task Order Award assuming renewals. Our goal of course is to receive the full $600 million in obligations, but we did see some delays as a result of the issues that arouse from our Congress and the administration having to reconcile some of their issues and differences. While this has been resolved and we are again working with the remaining component agencies, we are having to pay a bit of catchup. And looking at the quarter-to-quarter comparisons, we would also like to point out that all of this revenue was just not attributable to DHS. While we did see our DHS carrier services increased 123% from $3.9 million in the first quarter of 2014 to $8.7 million in the first quarter of 2015. We also saw 57% revenue growth quarter-over-quarter from a combination of our other revenue streams which strengthened both professional services and recurring management services and identity management and telecom management, all very good signs. While our success looking back, builds the bases to look forward. Looking forward is still what is important for us to drive to meet our financial goals and targets for 2015. Last year, we started the year with an approximately $40 million run-rate and recognized revenues of approximately $53 million for the year and ended the year at an approximate $66 million run rate. This year, we’ve entered 2015 at an approximate $70 million run rate with a target of recognizing 50% revenue growth over last year’s $53 million. So while we’re off to a good start, we still have much progress to make. Our key focus on achieving this targeted result is to continue to build upon our DHS activity where ordinary state and local presence continue to expand our commercial and international work and of course grow our next generation identity management phase of new business with a focus on our Certificate-on-Device and drive credentialing capabilities. We believe DHS, given the Coast Guard and the two other components, should help us to build support for adding to our revenue base in the second half of 2015. We believe with a number of state and local opportunities close at hand, we should see our risk activities step-up with some new additional awards in the second quarter bolstering again our second half revenues. Our commercial and international work should also provide some additional revenues that we add new contract vehicles and continue our expansion here to aboard from current customers and to robust pipeline. And finally, what we are most excited about is the beginning of recognizing revenues from our next generation identity management services in the second quarter. These combined opportunities should lay the groundwork for us to meet our revenue targets for 2015 of approximately 50% revenue growth. The revenue and revenue growth are just part of what we must achieve. We also need to continue to improve gross profit and optimize both our SG&A expenses and optimize our investments to meet our targeted goals for 2015 that includes continuing to grow our gross profit on an absolute basis and a percentage basis. While on the recent quarter-to-quarter comparisons, we improved our gross profit approximately $1.1 million excluding amortization and depreciation. On a percentage basis, it was slightly lower on a quarter-to-quarter comparison predominantly as a result of the amount of growth in our career services under the DHS BPA. To achieve our gross profit goals, we must grow not only our gross profit on an absolutely basis, but also on a percentage basis. We believe looking forward we should be able to achieve this goal with the improvements we’ve been making by investing in our technology platforms and also by witnessing a greater amount of relative revenue from higher margin services from our next generation identity management services that are just now coming to market. We believe that as this blend improves, we should see our gross profit will not only in an absolute basis improve, but also on a percentage basis. The only outlier that could affect this is that the coast guard would come on a very accelerated basis then our absolute gross profit of course would grow nonetheless, but on a percentage basis it may not, but that’s a win-win situation on however that plays out. And looking at our SG&A expenses, we’re also in the process of leveling off the investments we have been making to achieve our SG&A targeted goals. In the first quarter, we expensed all of our 2014 audit expenses front loaded all of the start-up expenses associated bringing on the DHS ICE component, invested in our next generation identity management solutions as well as we made investments in our platform unification process to streamline and improve our profitability while also continuing to invest in sales and marketing for our channel partners and maintaining an excess capacity to be prepared for continued revenue expansion. All quite a lot of work given that we’re starting to level these off though and the investments we believe we will see returns come from them online and starting in the next quarter and the second half. I would like to further note that a large percentage of our losses in the quarter were from these investments and not operating the business. These were choices that we made. So we would have the investments in place to be a strong dominant player in the noted fields that we’re entering in identity management. So, given our targets of increasing our gross profitability and stabilizing and optimizing our spend on our investments that fall within our SG&A categories, we think it becomes evident that with increased revenues, improved gross profitability and leveling off of SG&A expenses, the financial model has the potential to be monetized quite nicely as we progressed through 2015 and into 2016. So, in closing, we have come a long way over the past year and we believe we’re [indiscernible] of demonstrating this year as a path toward showing everyone how we can monetize our business model and build value for all of our stakeholders. It’s been a lot of work by everybody involved and we’d like to actually thank all of the team members in this company and what they put forward and the extra work, everybody has worked almost double time over the last two quarters at trying to achieve this dream that we’ve been making for both ourselves and our stakeholders. So, with that I’d like to turn it back to you Steve to move on.
Steve Komar: Thank you, Jim, excellent comments and observations. I’d like to now open the call to our listeners’ questions. Operator, if you can assist us by opening the line and sequencing the questions and comments from our listeners that will be greatly appreciated.
Operator: Thank you. [Operator Instructions] We’ll go first to Mike Crawford with B Riley and Company.
Mike Crawford: Thank you very much and look forward to seeing you at our conference this week. Can you talk about what WidePoint technology Samsung is in the process of integrating into its KNOX product suite?
Jim McCubbin: Well, yes. And is just not KNOX that we’re working with as you maybe aware, KNOX is one of their software tools and integrated platforms that integrate with our telecom expense management services into parts of their MDM platform as well let’s just take a look and integrate the mobile security aspect of it. So what we’re doing with Samsung is not just looking at identity management and credentialing, but we’re looking at our entire platform and how we can work together moving forward.
Mike Crawford: Okay, thanks Jim. And you talked about co-marketing later this month with Samsung on some opportunities. Can you expand upon what those opportunities might entail?
Jim McCubbin: We have to be careful on what we say because they are joint co-marketing activities between Samsung and us. There is a very large ongoing federal opportunity where they’re – they’ve been working on derive credentialing that we will be addressing and there’re also some other commercial opportunities with the new handsets and devices. That’s where we’re actually going to market with their enterprise group.
Mike Crawford: Okay, thank you and just a couple other quick ones if you don’t mind. So, one, are you seeing – when you’re looking at your next generation identity management services that people are going to kind of a software search first and then perhaps from there then moving to more hardware based solution embedded directly like on a base border within a handset?
Jim McCubbin: Well, Mike, Yes as well as something else that we’ve observed. We’ve observed that they’ve been – on our commercial side, they’re taking us into other commercial clients and the commercial clients are asking for some upfront consulting work in developing plans on how to adopt identity management and some of our managed services as well as helping them some potential additional software reselling and hardware equipment needs to make it work as well as ongoing maintenance. So we’re actually seeing this as more of a consultive approach leading into tokens and other requirements in credentialing. Now, we are all also seeing that some of them that just want to address handsets are looking at software as a leading prototype followed by embedded and that’s just because it’s very – this is all new to the marketplace right now. Kyocera, we would have to say is the farthest along on the embedded side, but everybody is trying to play catchup.
Mike Crawford: Okay, thank you. And then last question just relates to some of these pilots or as you call phase one stages where I think there is something you’re looking at on the federal [indiscernible] may be that’s pushed a little bit, there has been some other budgets be at with LG or Kyocera or I guess Samsung now that that we know who that partner is. I think that these – in aggregate these were defined as something representing some 60 million of opportunities on your earlier conference call. Can you just give updated color on all that please?
Steve Komar: I can tell you that it’s interesting that you chose those words Mike on the telework – the teleworker piece of this has pushed out a little bit to the right, but it is still an ongoing initiative. It’s actually been eclipsed by this reference that we’ve talked in today or that I talked about in today’s call with a rather large financial servicing client. So there’re those two scenarios and I think on top of that there were a number of marketing initiatives that are actually underway already with LG but at this stage of the game, I would go back – I would go back to the comment that Jim made earlier, I think we have to wait for our partners to announce those. So, we’re very, very close and we’re happy to have said what we’ve said today about Samsung and we expect to be able to say more about Samsung and others in the very near future.
Mike Crawford: Okay, thank you very much.
Steve Komar: Thank you, Mike.
Operator: We’ll now take Mike Malouf next with Craig-Hallum Capital Group.
Mike Malouf: Great, thanks guys for taking my questions. I’m wondering Jim if you could just focus on a little bit more on the Samsung, if you can may be step back and give us a little bit of Samsung how the economics work on something like this? I know that in the past you’ve said monthly ARPU of around $1 to $5, but this is obviously could be a very large opportunity. So I’m just trying to get a sense of if you could gotten any more color on that or if you could narrow it down a little bit and may be you could also give us a little bit of commentary on the Kyocera was seems to be a little bit more near-term? Thanks.
Jim McCubbin: Yes, Mike, one, Samsung we’ve been working this endeavor for quite a while. And it has expanded beyond just a Cert-on-Device to by itself in which case we’re embedding into software, we’re embedding them into some of our back room operations and we’re co-marketing into some both federal and commercial opportunities. While though $1 to $5 credentialing aspect of it remains real. We’re also looking at a consultive approach as well as we’re looking at some more transactional aspects of it with the carriers that we’re also partnered with. I think we’re too early right now to define exactly how it’s going to play out. And it’s taken us a little longer because there is more involved now. And there is more room for us to play. So that’s where I can leave it at this point. I do believe over the next coming month or two, we’ll have more color. And I really believe with AT&T when we talked about our major financial services company that’s also representative of how the model is a little bit influx right now because some of these large organizations are looking for help to actually migrate there and that’s become a component part of it. Okay.
Mike Malouf: Yes, and then with Kyocera…
Jim McCubbin: Kyocera, we’re…
Mike Malouf: Do you have a little bit more visibility there?
Jim McCubbin: Kyocera, we’re quite pleased with. Kyocera as you know we’ve come up with a way to embed. We’ve already started marketing. Their target marketplace is in the first responders here. They’re hoping us leave the charge. And on a per device credentialing aspect is still there and there may be some other rewards and financial rewards as well with what we do with them. We’ve been nothing, but pleased with what we’ve seen out of Kyocera today.
Mike Malouf: Okay, great. And then just one last question for the LG, you said the next – I just missed what you said, the next generation, are we talking about the LG G4 that you’re going to be evolved or is there some other client that you’re referring to?
Jim McCubbin: Steve made that comment I believe, but we are working and marketing with LG and AT&T to their commercial set. I think they’re waiting for us now to make sure that we’re integrated appropriately. I know we’re co-marketing with them as we speak and we’ll be demonstrating in the second quarter.
Mike Malouf: Okay, great. Thanks for the color. I appreciate it.
Jim McCubbin: Well, thank you Mike.
Operator: We’ll go next to Sam Donaldson, who is a Private Investor.
Sam Donaldson: Gentlemen, [indiscernible] with the progress you’re making, but I think on these sets it supposed to be following a plan that you laid out over three years ago that you included spending a lot of money in order to expand the operation and [indiscernible] profits. So I congratulate everyone on the team. Jim and Steve do u still expect as I think the last two quarterly reports you said that by the end of this year, somewhere toward the end of this year, we’re going to be in a positive situation. We’re going to be making money on the quarterly report and not losing it.
Jim McCubbin: That’s our targeted goal.
Steve Komar: That’s our plan. You’re right.
Sam Donaldson: Well, okay, that’s the plan. But is there anything that you see because things change and I think most of us understand that. Is there anything you see that – somewhat your enthusiasm for this goal in the last several weeks since the last time you spoke?
Jim McCubbin: No, Sam, I mean right now, its increased revenues, improved gross profitability on an absolute percentage basis over the year and optimize investments and flatten out the SG&A line. I mean just those three activities produces a positive financial result. Okay, now we have to be wise how we do it. We don’t want to stop everything of course, but that has been our plan since last year. We had to – we’ve raised the money so we could make the investments, so we’d be able to go to market and we’re on plan to do that. We also were in plan to invest about $1 million plus in the fourth and first quarter and we’ve held through to that as well. If you look back at the commentary, we just continue to plan and we try to manage to that plan to hit that net result that we’re trying to achieve.
Steve Komar: Sam, let me add just one quick comment and I am going to violate the rule about never saying anything that’s – anything other than positive. It is not a slam dunk. It’s going to take a lot of hard work, but we are on or ahead of plan, both in terms of our internal plans and in terms of call it analysts’ projections. We believe we’re going to get there. I believe we’re going to get there and I haven’t seen anything in the last two to four months that would lead me to have doubts about that goal.
Sam Donaldson: That’s fine, that’s certainly is satisfactory to me. As I said, I know things change and bad luck can occur. But as far as you can see, you still – the word was no, I say that you see anything that would really change your belief that by the end of this year, we probably will be, I suspect would be probably – we will be in a positive situation, we’ll be making money.
Steve Komar: Yes, every intention of leading this year as a profitable company, Sam.
Sam Donaldson: Good, I like the intentions, and again I congratulate you and everybody in the team, keep going.
Steve Komar: Thanks or you can use commitment if you like.
Sam Donaldson: Okay, all right.
Steve Komar: I didn’t mean to be emphasized.
Sam Donaldson: No, I – I used to be in a business who – lot of people who had great intentions of doing this that or the other, three or four of them got to be…
Steve Komar: Most of them didn’t…
Sam Donaldson: All right…
Steve Komar: Just see you later, Bye-bye. Super.
Jim McCubbin: Okay, thank you, Sam.
Steve Komar: Thanks, Sam.
Sam Donaldson: Thanks.
Operator: At this time, we have one question remaining in the queue. [Operator Instructions] We’ll take our next question from Jim Kennedy with Marathon Capital.
Jim Kennedy: Hi, Steve. Hi, Jim.
Jim McCubbin: Hi, Jim.
Steve Komar: How are you doing?
Jim Kennedy: Congratulations, great progress. I wanted to hear a little bit more about the Soft-ex and your data analytics platform you referred to that earlier in the call. At what stage of development are we in, in terms of having a true analytics platform and what role will that play going forward for something your larger customers? Is that an important feature? Just describe where you’re going with that if you don’t mind?
Steve Komar: I’ll just start out and actually this is a favorite topic of both James and myself, so he may supplement me. But let me start out by saying that the platform had been developed over a two to three year period just prior to our acquisition. Within three or four months after the acquisition that platform was up running in production and has the substantial customer base today in Ireland and in the United Kingdom as well as a couple of additional clients elsewhere in the European community. It basically operates as a telecommunications life cycle platform but with a focus on providing via the other cloud or any other competency a direct to end-user client usually in enterprise, a series of informational bps that that client uses to manage its environment. It’s a different business model than our U.S. based telecommunications life cycle management program because in a fact the direct customer of Soft-ex were data analytics or the communication service providers. And that is essentially way the business operates in the European markets and another offshore U.S. markets. And then what happens is that the telecommunication service provider has the direct relationship with the end-user customers. So think middle ware or think intermediary, but again with long-term contracts and a very stable and growing revenue stream. We’re looking at migrating that into the U.S. market. We’re very early stage on that although we do have a couple – we do have at least one major telecommunications service provider that is in a contractual relationship with us to do. We’re being very cautious about it, because frankly it is not our highest priority today, given all the other things we have to do, but it is one of our stated intentions for business development.
Jim Kennedy: So as you move down the – the COD route, how important is analytics to your potential end customer. Is that something that it gets bundled with what you’re going to do? Or is it strictly on the temp side of the business?
Jim McCubbin: Right now, Jim – This is Jim. Analytics is the new functionality that people are looking at or looking towards more, more and more. One of the reasons that we have acquired Soft-ex precise the European presence, was also the analytics capability that the tool set and suite. The software had been completely rebuilt its new and its very leading edge. So with that we just need a little bit of time to both integrated into the analytic side of the U.S. base temp side. In the U.S., we’re agnostic. So there is two approaches for us to go-to-market through the carriers in the U.S. and/or augmenting our capabilities on temp side. As you know, we’re building an enterprise management solution set. So any – the credentialing and certain device and various other tool sets will be ultimately linked up with the platform that we’re building on temp side, is all going to represent a series of different tools, analytics will be part of that tool set because analytics is very important to our end users.
Jim Kennedy: Thank you…
Jim McCubbin: That’s why this is a best way to market for us and it’s a more efficient way and not as costly way for us to introduce analytics.
Jim Kennedy: Okay, great. Thanks for taking my question.
Steve Komar: Thank you, Jim.
Jim McCubbin: Thank you.
Operator: And it appears there are no further questions at this time. Mr. Komar, I would like to turn the conference back to you for any additional or closing remarks.
Steve Komar: Thanks, operator. I guess we have addressed all questions and comments. I would like to thank you operator for your assistance. And I’ll just make a quick closing comment to reiterate we’re very excited about our business outlook for this year. The management of the company has focused on continuing to build the business for the future and maximizing shareholder value in the process. On a side note, for those who you attending we will be presenting at the upcoming B. Riley Investor Conference in Los Angeles, this Wednesday, May 13. Again, we thank you very much for your continued interest in WidePoint and we wish you all a very pleasant evening. Thank you.
Operator: This does conclude today’s conference. Thank you for your participation.